Operator: Good morning. My name is Nora. I would like to welcome everyone to the JetBlue Airways Second Quarter 2020 Earnings Conference Call. As a reminder, today’s call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to JetBlue’s Vice President of Investor Relations, David Fintzen. Please go ahead.
David Fintzen: Thanks, Nora. Good morning, everyone, and thanks for joining us for our second quarter 2020 earnings call. This morning we issued our earnings release, our investor update, and a presentation we’ll reference during this call. All of those documents are available on our website at investor.jetblue.com and have been filed with the SEC. Joining me here in New York to discuss our results are Robin Hayes, our Chief Executive Officer; Joanna Geraghty, our President and Chief Operating Officer; and Steve Priest, our Chief Financial Officer. Also joining us for Q&A are Scott Laurence, Head of Revenue and Planning; and Dave Clark, VP of Sales and Revenue Management. This morning’s call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors. And therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to our press release, 10-Q, and other reports filed with the SEC. Also during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of the earnings release, a copy of which is available on our website. And now, I’d like to turn the call over to Robin Hayes, JetBlue’s CEO.
Robin Hayes: Thanks, Dave. And good morning, everyone and thank you for joining us. As forth with all of our crew members who have been impacted by the ongoing pandemic, especially the families, friends and loved ones of those we have lost at JetBlue. I am sorry to say, that we are deeply saddened to have lost two more crew members to coronavirus both on July the 16th. We remember Brittany Jones from our Airport Operations team at Fort Lauderdale who join JetBlue just over a year ago. She was known for her kindness and optimism with customers and her colleagues alike. We also have remember; Orlando Tavares, who was a Quality Control Inspector in Technical Operations and he most recently served on a temporary duty assignment in Fort Lauderdale. During his eight year career with JetBlue, he exhibited our values working with passion and pride in everything he did and considered himself ” JetBlue 100%”. Losing two beloved members of our JetBlue family, on the same day is a painful reminder of this pandemics reach and severity. In the last quarter, we’ve also seen issues of racial equality come to the forefront and prompted the long overdue dialogue around racial equality and justice in this country. At JetBlue, we were born with a mission to inspire humanity and there’s no more opportune time for us to show exactly what this means than through our actions. We’re looking inward, addressing our own processes and policies at JetBlue. We have started to work with our crew members to prioritize meaningful changes that they would like to see in support of inclusiveness and racial equality. Leading with our values, we are committed to ensuring that we look at our business practices, through the lens of diversity, equality, and inclusion. As a company, we’ve also faced - we are also faced with a historic decline in demand. And the reality of needing to be a smaller company for the time being. I want to take a moment to acknowledge the sacrifice made by our crew members who have decided to take voluntary opt out or participate in our voluntary time off programs which helps us adjust our staffing to the incredible drop in demand that our industry is facing. By stepping up, they have protected, many jobs at JetBlue, helping us to navigate the most difficult period in our history. We wholeheartedly thank them for their amazing contributions at JetBlue and to those of you who are leaving, we wish you all the very best in your next chapter. Turning to slide four of our presentation. For the second quarter, we reported a gap loss of $1.18 per share. Despite reporting a truly staggering loss that reflects the steep fall in demand that started in late February, we have been decisive in taking actions to protect JetBlue and to emerge stronger as we manage the recovery. In the past two months, we’ve made progress in reducing our cash burn and have been quick to resize operations in this dynamic demand environment. Despite a recent softening in demand, we are still on track to take our cash burn to between $7 million to $9 million a day in the third quarter. Since April, we raised nearly $1 billion in liquidity and our balance sheet remains among the strongest in the industry. While demand have improved materially from the historic low we thought in April, bookings remain choppy and we remain focused on addressing changing trends as we progress the summer. Our network continues to be impacted by Scott spikes in COVID cases and quarantine measures. But we have seen that customers are willing to travel to see their family and friends. It is highly likely that this recovery would not be linear, but our smaller size allows us to respond quickly to changes in demand. We are confident that our low cost, low fare leisure model, coupled with our trusted brand will be instrumental, and central in navigating recovery. Let’s move on to slide five of our presentation. We recognize that recovery starts with rebuilding customers’ competence in flying again. At the onset of this crisis, we created a comprehensive approach we call safety from the ground up. Our focus has been on taking all precautions with health and safety protocols, so that our crew members and customers are safe on the ground and of course in the air. We’ve laid out a three step recovery framework to set JetBlue up for success, and to emerge stronger over the coming years. The first is to reduce our cash burn. Despite the challenge and volatile revenue environment, we have been nimble, taking capacity actions to add revenue and minimize variable costs and continue to make progress in reducing our daily cash burn. The second step is to rebuild our margins. On the revenue front, we are working through - we are working on a series of initiatives that we believe will accelerate revenue recovery and strengthen our relevance and our focus it is. We are seizing on unique network opportunities repurposing our assets and entering into strategic partnerships. These actions will make us stronger and make us more competitive and ultimately bring our superior product and service to more customers. On the cost front, we’re resizing JetBlue meaningfully to mitigate the impact of lower demand and Steve shortly will provide details about our efforts to double down on our low cost model. We believe that executing on our costs will again be pivotal to rebuilding our margins. The third and last step is to repair our balance sheet. Although, we have raised a substantial amount of liquidity in a short period, we are committed to returning to pre-COVID leveraged metrics. I want to briefly touch upon our network strategy to position JetBlue for recovery, continuing the work we’ve put in place prior to the start of the pandemic. We recently announced a significant reallocation of our assets in our network flying to 30 new markets, launching between July and October. In the near term, we believe this move will support our efforts to generate cash and respond to demand. In the longer-term, it will strengthen our New York focus city, with more flying out of New York, including award-winning Mint Transcon service On the West Coast, moving our primary base of operations from Long Beach to LA will bring new competition to the airport and position JetBlue strategically to grow in the future, including International Service that was just not possible at Long Beach. I’d like to take a moment and thank Los Angeles World Airports for their continued support, our efforts to grow our presence in LA. Lastly, we have entered into a strategic partnership with American Airlines. This new and unique partnership will accelerate our recovery from the impact of the coronavirus and strengthen our ability to compete with our peers in the northeast, offering our low fares and improved service to more routes to both to customers in both New York and Boston. For the past 20 years, we have succeeded against the odds, and we firmly believe that we are laying the foundation and repositioning JetBlue has come out of this crisis as a stronger global player in the years to come. Once again, thanks to all our incredible crew members for playing such an incredibly vital role to JetBlue during these most challenging times. With that, I’d like to pass over to Joanna.
Joanna Geraghty: Thank you, Robin. I’ll start with a heartfelt thank you to our crew members. These past few months have been the most challenging in our 20-year history, and we cannot be more thankful and proud of their kindness and professionalism, caring for one another, and caring for our customers. I’d also like to give them a special shout out for their amazing work, which was recently recognized by Travel + Leisure magazine. For the second year in a row, JetBlue was rated the number one domestic airline in the 2020 world. During this unique time, this award speaks to the hard work and exceptional service that our crew members deliver every day. In addition, we’re also very pleased to see our industry leading and record high Net Promoter Scores, reflecting how well JetBlue is meeting the commitments of our safety from the ground up program. Customers historically chose JetBlue for our fares, great service and product. Choice drivers have shifted to cleanliness, physical distancing and facial covering compliance, and customers are telling us what is working and how well we are performing against our own plans. JetBlue already offers a leading differentiated and preferred experience and I cannot be more proud of our crew members who are delivering on our safety promise, which matters now more than ever. Moving on to slide seven, as Robin mentioned, we’re laser focused on managing the current volatile demand environment, due to increasing case counts and shifting government quarantine and international entry requirements. In the short-term, we’re managing and shifting capacity with a focus on operating only those flights that cover our variable costs. In the long-term, we are solidifying our network strategy to build and consolidate our focus cities. We’re taking advantage of unique opportunities presented by the pandemic that will allow us to rebuild our margins, when demand return. Starting with new work, our added flying solidifies our relevance in the New York metro area by bringing low fares, and our industry leading product and service, including Mint to more customers. This will ultimately bring our New York operations to 60 daily flights post recovery. South Florida, we remain steadfast in our long-term plan to grow Fort Lauderdale to 140 flights per day, bringing our product and our service to more customers. With the addition of two international gates, our focus is on connectivity to promote origin and destination traffic between our domestic and Latin networks. We believe that improving scheduled connectivity will enhance our already successful point to point strategy in this high value geography. On the West Coast, we announced the closure of Long Beach, due to performance, and are moving the operation to LAX, one of the strongest markets in our network. This consolidation and an otherwise gate constrained airport will help us reduce costs and improve our margins, with more profitable flying. It will also set us up longer term to expand both domestically and internationally. Longer term, we think 2025, we envision taking LAX to 70 flights per day. We look forward to growing in the future with the support of Los Angeles World Airports. Moving on to our recently announced Northeast partnership with American Airlines. We’ve built a strategic relationship that combines the strengths of both airlines, positions JetBlue as a global player, and we believe creates a faster path to recovery. By adding more routes to our network, our customers will have access to more destinations, and frequencies. This partnership includes 130 new routes for American customers and 60 new non-stop for JetBlue customers. Our combined networks will also significantly strengthen our Boston and New York focus cities. In Boston, this partnership will allow us to bring our low fares to more markets quicker. In the case of New York, we will be able to compete more effectively with larger airlines, overcoming the current limitations to grow in the slot constrained airspace. While we are currently working through the regulatory process, we anticipate entering into reciprocal codeshare and loyalty agreements, offering low fares, improved schedules and options for connectivity. Loyalty members for both airlines will also be able to earn and burn miles on both airlines networks. Driving loyalty is a significant focus for JetBlue, and these enhancements will go a long way toward making TrueBlue even more beneficial to our customers. We look forward to bringing the JetBlue effect to more customers, and more markets in the near-future. Turning to slide eight, and the current demand environment. Bookings and traffic volumes improved revenue sequentially during May and June, from down 93% to down 83% year-over-year, volumes have increased since demand bottom now in April, and during the second quarter, our revenue broadly tracked to our L-shaped recovery forecast. Although, we saw some demand recovery. The COVID resurgence in late June and the tri-state quarantine has not surprisingly, pressured demand. We expect demand will continue to be volatile, and recovery will not be perfectly linear as customer’s willingness to travel evolves as regions reopen for business, and as infection rates change over time. In terms of geography, during the second quarter, traffic between the Northeast and South Florida held up relatively better throughout the back half of the quarter, and we saw a relative strengthening of our transcon markets. Both of these regions have traditionally been strong profit drivers for JetBlue supported by the strong VFR, and leisure demands. Due to the tri-state quarantine, and increasing case counts in much of the south, we continue to experience near-term volatility. When these regions stabilize, we expect they will support our recovery, given the pent up demand we saw for travel. Latin VFR demand remained strong through the quarter, especially in Puerto Rico and the Dominican Republic, where we have tactically added back capacity in response to demand. We have resumed service to 15 Latin destinations during the month of July, with more coming online in the later portion of the summer as always, driven by demand strength. The situation in the region continues to evolve as foreign governments are starting to reopen their borders to international flying. Our government affairs team and international stations have done a great job managing a concerted effort to bring this important region back online, subject to restrictions, we expect more than 50% of our Latin capacity to be in place by the end of the summer. And we remain committed to this region as a long-term source of superior margins. Based on forward bookings and current planning assumptions, we are estimating our third quarter revenue to decline approximately 80% year-over-year, in some markets industry capacity has returned faster than demand, putting downward pressure on fares and creating a headwind to revenue, even as more customers travel given the choppiness in demand, we will continue to take a conservative approach and planning capacity. We recently extended our middle seat blocking policy through Labor Day, continuing our efforts to instill confidence in customers, and deliberately making investments to protect our revenue base. The cost of our policy is relatively small and less than 10% of our flights are currently reaching the lids we put in place to maintain physical distance in the cabin. We believe that this is the right decision at present, because our customers continue to tell us that this policy is important for them as they choose JetBlue, among many carriers. We continue to evaluate our seat policy, balancing the needs of our customers with our efforts to reduce cash burn and rebuild our margins. Moving to capacity on slide 9. We’ve managed our capacity to safeguard the financial security of JetBlue, since the start of the pandemic we have been among the most aggressive carriers to make schedule reductions, we’re also putting into place a process for closing cancellations to avoid costs and mitigate cash burns. As a result of our actions, our second quarter capacity declined 85% year-over-year after making deep cuts in our forward schedule during March, we adjusted our flying following demand. In May and June, we added capacity back to generate cash when demand was improving. As we saw signs of demand trends stalling, we shifted back to reducing capacity. And I’ve recently pulled 15 to 20 points from our August schedules. Overall, we will continue to monitor demand trends and we’ll adjust capacity to reflect the current demand environment. For the third quarter, our current planning assumption is for capacity to decline, at least 45% year-over-year, our guiding criteria is cash generation, and we will continue to react to changes in demand trends rationalizing and pulling capacity is needed before each schedule month is flown. Our teams have done an outstanding job in strategically managing our fleet to minimize maintenance and fuel costs. Well, we have started to bring some aircraft back from temporary storage; we will remain flexible supporting our goals to generate cash. We have a firm grip on cash breakeven economics and a solid process to manage capacity towards cash generation. Thank you again to our crew members for continuing to serve our customers and maintaining a safe operation. Steve, over to you.
Steve Priest: Thank you, Joanna. And good morning, everyone. I would like to add my thanks to our crew members. Even with the challenges presented in their personal lives, they’ve continued to live our values and work tirelessly to protect the financial sustainability of JetBlue. I’ll start on slide 11, with a brief overview of our financial results for the quarter. Revenue was 215 million down 90% year-over-year operating expenses were down 66% year-over-year excluding the benefits from care that, on salaries wages and benefits, operating expenses about 50% year-over-year. GAAP loss per diluted share was $1.18 and adjusted last diluted share was $2.2. Our effective tax rate for the quarter was 27% on a non-GAAP basis. We continue to manage through this fluid environment with a near-term focus on preserving liquidity. Just as importantly we are positioning JetBlue to thrive as we emerge from the pandemic. We’re putting JetBlue back on a path to long-term success following a three step framework that Robin introduced. First, reducing our cash burn, second, we’re building our margins. And third, we are paying our balance sheet. Moving to slide 12, our treasury team has done an exceptional job, executing capital raises and exceeded that goal to raise at least $750 million of additional liquidity. Last month we raised just under $750 million with a new term loan backed by JFK, LaGuardia and Washington Reagan slots, as well as, as JetBlue brands. This is the first time in the industry that an airline has used its brand as collateral. We also entered into a sale and leaseback transaction that raised nearly $120 million during the quarter. Our total liquidity, including restricted and unrestricted cash the crisis of $3.4 billion at the close of June or 42% of our 2019 revenue. In July, we have executed further sell these backs that will add an additional $200 million to our liquidity, bringing the total amount raised since April to roughly $1 billion. We are now shifting our focus to refinancing the 364 term loan that we executed back in March. The team has also been working closely with the U.S. government and its advisors PJT on our application for the CARES Act loan. As a reminder, we are eligible for up to $1.14 billion, over the forthcoming weeks, we will assess our needs to access the loan. As early cash burn improved every single month since April to earned $8 million at the end of June. We’ve proven during the quarter came mainly from our efforts to manage capacity, reduce our cash base and manage payment terms. Small improvements in revenue trends during the quarter also contributed to our progress in cash burn. Looking into the third quarter, we continue to estimate our daily cash burn between $7 and $9 million, mainly driven by a continuation of our work to reduce our cost base and capacity actions to respond to the changes in demand. While we fall within the range will depend on the revenue environment during the third quarter. Our expectation is to further reduce our daily cash burn, in the fourth quarter, but a mindful of the continued uncertainty, in the revenue environment. Turning to slide 13, while we’re focused on the near-term, and reducing our cash burn. We’re also laying down the foundation to rebuild our margins. We are in the midst of a company wide effort to resize JetBlue to add demand assumptions, cost is one of the most important levers that we can control, so much stronger from the crisis. During the second quarter, our operating expenses in our P&L declined 50% year-over-year. This figure excludes the payroll benefit from the CARES Act. This impressive achievement is a result of a concerted effort of our teams who have been relentless to protect the financial viability of JetBlue. In the short term, we succeeded at reducing our variable costs by taking aggressive capacity actions and quickly reducing the size of our operation, our focus is shifted to restructuring our fixed cost base, by making the organization even better to respond to rapid changes in demand. We continue to focus on external spend with our business partners and to make our support centers more efficient. We are pleased to announce that we have entered into a long term maintenance agreement for our SelectOne engines, helping us manage through one of the largest items of external spend. We have also added flexibility in staffing for most of our frontline work groups through time-off programs. This added flexibility will serve us well from a need to dial down capacity and will give us the ability to ramp up quickly when demand returns. We’re truly thankful to all of our crew members who have stepped up to protect the financial future of JetBlue. Given the uncertainty of recovery, we are managing headcount needs in this fluid environment through voluntary programs. We’ve already had around 25% of our crew members sign up for volunteer time off program or opt-out package, and we expect to see these numbers increase as we continue to offer additional voluntary programs. Our goal has been to make it through this period without furloughing crew members, if at all possible. With the CARES Act payroll support that gets us through September and our voluntary programs in the way, we believe we have a path to protecting many jobs. Our crewmembers willingness to take voluntary actions speaks very highly about culture and the resilience as a team. For the third quarter, we expect total operating expenses to decline by nearly 35% year-over-year, in line with capacity ads that respond to the demand trends we saw during the second quarter. Based upon the recent execution of our restructure cost program, we are confident that we will again succeed in reaching our cost goals. We believe that our network actions, coupled with our cost restructuring efforts will help us rebuild our margins. Moving to slide 14. In early July, we took delivery of one A321neo, taking our fleet to 263 aircraft. We are currently managing the economics of bringing back aircraft into our network, and have the ability to start retiring some aircraft early. As we move through recovery, we will continue to evaluate the size and shape of our fleet to support our goals to reduce cash burn and execute our network plans to rebuild our margins. We expect that total CapEx for 2020 to be in the range of $800 million to $850 million, and we expect to finance the remaining deliveries this year through sale leasebacks. We view our future CapEx as an investment to rebuild our margins, given the economics of adding newer and more fuel efficient aircraft into our fleet. We are mindful of the financial commitments tied to our current order book and we will continue to revisit our CapEx forecasts, as we navigate the crisis. Moving to slide 15. At the end of June, our debt to cap ratio is 55%, which reflects our recent financing transactions. Given our current debt level, we anticipate cash, principal and interest payments through the end of 2020 of approximately $130 million per quarter. We remain committed to working again towards reaching investment grade metrics, similar to those that we proudly exhibited, not too long ago. Over the next couple of years we expect to approach our capital structure by balancing our goal of repairing our balance sheet, while making creative investments that create value for our stakeholders. We remain optimistic about the future of JetBlue. As in past crises, we believe we can emerge stronger as an airline. We certainly have the best crew members in the industry and brands that customers truly love. We operate in high-value geography with our low cost leisure model that positions us well for future success. On behalf of the JetBlue leadership team, I want to again thank all of our crew members as well as our business partners and our communities for all of their tremendous support during the past few months. We will now take your questions.
David Fintzen: Thanks, everyone. Nora, we’re ready for the question-and-answer session with the analysts. Please go ahead with the instructions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jamie Baker of JPMorgan. Your line is open.
Jamie Baker: Hey, good morning to the team. So my first question relates to the pilot deal that was announced at the beginning of the month. It appears that the primary impetus from management’s perspective was being able to announce the American relationship partnership, but there do appear to be some other smallish tweaks in the deal. Should we be thinking about any temporary or even permanent cost reductions or efficiencies? Or is the pilot deal really best viewed as something you needed in order to do proceed with the American announcement?
Joanna Geraghty: Hi, Jamie, this is Joanna. I’ll take that question. First, I’d just like to say our pilots have been great partners over the past several months, particularly given the challenges that the business is facing. The work we’ve done with pilots provides JetBlue, a level of relief, so far as their minimum hour schedule requirements that have been reduced. And we also achieved a level of scope relief. The scope clause and the pilot contract required us to grow and hire certain number of new pilots. And obviously, in this environment, that’s not something that’s happening. So there’s a level of scope relief in there and then also, a level of commitment to no furlough through the end of April. So we’re really pleased with the partnership over the past months, and they, along with our other work groups, have been absolutely committed to making JetBlue successful as we navigate through this crisis.
Jamie Baker: But do you consider the scope component to be the most relevant?
Joanna Geraghty: I think they all work together, and all were important to both JetBlue and to our pilots.
Jamie Baker: Okay. And then, Steve, could you run down the incremental sources of liquidity remaining, what you envision pledging for the loan, should you draw it? The brand was pledged already, but is there other intellectual property? Where are we with unencumbered aircraft, just an update in that regard would be helpful. Thank you.
Steve Priest: Good morning, Jamie, and thank you for the question. I have to say as a starting point, I couldn’t be happier with, a, the fact that we came into this crisis with probably the second strongest balance sheet in the industry; and then sort of secondly, the incredible levels of urgency and focus and execution that the team has gone through over the last few months. In fact, we’ve raised a total of $3.7 billion since we started the crisis. And our debt-to-cap is only sort of sitting at 55%, which candidly is pretty strong when you relate that to the competitive set. With regards to additional liquidity sources that we have, I would describe this as a sort of continued focus, which is, one, we continue to have north of $1 billion of unencumbered assets available to us on the balance sheet, and that excludes our loyalty program and also excludes our subsidiaries within JetBlue. The key areas of focus for us will be, one, as I mentioned, in the prepared remarks, will be the refi of 364 facility that we took out in March. And then in terms of the focus of additional liquidity one, we’ve got some sale-leaseback activity that is under contract and we view at the moment. Secondly, we will continue to use the balance sheet for any additional debt raises depending how we navigate the store. And then thirdly, we’re working a close focus with the government on the CARES Act loan facility. We continue to propose that we’ll use the loyalty program associated with that. And we are also parallel passing that in the capital markets, just to make sure we’ll end up with the best return on that investment as we think about our liquidity going forward, so that’s how I’m thinking about navigate in the next few months.
Jamie Baker: Any recent third-party appraisal of the program - the loyalty program?
Steve Priest: We have sort of gone through that recent appraisal, and that’s been part of our work that we’ve been going through the government, and we continue to work through that facility as we go forward.
Jamie Baker: Thank you very much.
Steve Priest: Thank you, Jamie.
Operator: Your next question is from Duane Pfennigwerth of Evercore ISI. Your line is open.
Duane Pfennigwerth: Hey, good morning. Thanks for the time. Just in terms of the sequential drivers of your cash burn improvement, high level, it looks like your planning assumptions call for OpEx down less sequentially by about 15 percentage points and revenue down less by about 10 percentage points, CapEx slightly higher sequentially, 3Q versus 2Q. So not a question unique to JetBlue, it’s one I’ve asked most of the airlines. What is the driver of sequential cash burn improvement?
Steve Priest: Thank you, Duane. And good morning. And I’ll pick that up. It’s Steve here. So first, I would say, I think the work we’ve done sequentially on month-on-month, just as a reminder to everyone, we left March with a cash burn of $18 million a day. And we ended June at 7.7%. So absolutely tremendous progress that we’ve made in terms of humming our fixed costs, going very, very deep on our variable costs, and obviously we saw some revenue recovery in June. The biggest thing, Duane, I would really focus on the coordination between the finance team and the planning team has been exceptional. And obviously, in this COVID environment, we are brutally focused on making sure that all of our flying is cash positive. And so as you look at that, that’s really the sort of core driver of the continued focus going forward in this COVID environment, as I mentioned. In terms of thinking about the sequential move from June at 7.7% to the reaffirmed range of Q3 from 7% to 9%, it’s candidly a reflection on sort of revenue environment. And I say that because we’re looking at sort of sequential capacity growth in Q3 versus Q2 as a result of some of the - of what we saw as we came into that. And obviously, as a result of sequential capacity growth, you are so seeing some slight increase in our variable cost structure. And obviously, as I mentioned, through our strategic and tactical process, Joanna, Scott and the team are incredibly focused on making sure that we align the schedule to cash positive flying. And so the 15% to 20% reduction in our recent reduction in our August schedule will show that. In terms of the CapEx side, we have been doing a lot of work on sale and leasebacks. It’s a little choppy, but I wouldn’t suggest it’s material. When I look at our combination of CapEx and cost of financing on a quarter-to-quarter basis, it’s relatively flat. And so it’s really a function of the revenue environment coming off the back of June and into Q3 and our sort of, marginal, sort of, operating costs as we navigate this through. And the big driver, that’s why we’ve ranged it, Duane, between 7% and 9%. That will really be a reflection of the providing revenue environment that we see as we navigate through the quarter.
Duane Pfennigwerth: Okay. Thanks for that. And then on intermediate term demand, maybe 4Q and into 2021, what baseline do you think? And this is a follow-up maybe from Jamie’s question, what baseline do you the JetBlue needs to align its cost structure too. As we look into 2021 relative to 2019, how much smaller do you think the airline needs to be or is it simply a hope that things get better over time? And certainly appreciate the difficulty of this question. Thanks for your thoughts.
Robin Hayes: It’s an excellent question, Ryan. It’s probably one of the, sort of, top three questions that sort of go through my mind and the leadership teams mind as we go through that. Let me just give you a little bit of a flavor about what our planning assumption is. We’ve mentioned our capacity assumption of Q3, which will be a reduction of at least the 45%. And as I said, we’ll be very nimble and quick to sort of think about that. We’re expecting from a planning standpoint, position where in Q4, we’re thinking about operating around two-third of the schedule. So that will give you a sort of sense in terms of how we, sort of, go forward. And obviously, that will have its impact on, sort of, the revenue environment. When I step back and think about how we leave this year and go forward, it’s all about our cost structure and making sure we size correctly. As we’ve said, we expect to be a smaller carrier as we exit COVID. And when I think about our cost structure and the more relevant cost structure is around cash. So if you take D&A as of the equation, we’re currently in a, sort of, prior to the COVID crisis on a cash basis, 70% of our costs, including fuel were variable, and about 30% was fixed. As we come out of fares that is a smaller business, around 60% of our cash costs available versus 70% pre-COVID. So our whole philosophy as we go forward here is how do we hammer our cost structure back to the sort of 70% variability. So that we can very clearly manage our cost structure in line with the capacity and ultimately the revenue. And that’s really about three things. One, the work we’ve been doing on eliminating our fixed cost structure, thinking about things like our footprint, thinking about things like IT infrastructure and our architecture. Secondly, which is incredibly important, transitioning fixed costs or variable. We’ve gone very, very deep on our business partner contracts and brought variability into those contracts. And obviously, more recently, made the difficult decisions in some of our smaller airports to transition from our crew members to outsourced provision. And then thirdly, really hammering down our variable unit costs. Think about things like the maintenance agreements, including the sort of V2500 deal that we’ve just done. And secondly, a good example of this is our distribution cost structure, where we’re driving more and more direct distribution and also driving down our cost of indirect distribution. So I think at the top level, it’s getting fixed costs out, turning more fixed costs to variable, going into 2021, understanding post that that we’re going to be a smaller business and making sure that as much of our cost available as possible, so that we can continue to focus on driving our margins going forward.
Duane Pfennigwerth: Appreciate the thoughts.
Robin Hayes: Thanks. Duane.
Operator: Next question comes from Catherine O’Brien of Goldman Sachs. Your line is open.
Catherine O’Brien: Good morning, everyone. Thanks for the time. Maybe just a question on CapEx. So some aircraft leasing companies have shared that after an aircraft is 12 months or more late, you can cancel an order, get all your PDPs back and basically no penalty. With this in mind, I guess, first, do the same conditions in your contract with Airbus? And then second, how much flexibility you have in your future CapEx? And how are you thinking about CapEx over the next couple of years? And then I have one more…
Robin Hayes: Hi, Catie. Good morning, Catie. I heard your question about what’s the contract with Airbus and how much flexibility you have going forward. But I’m sorry, I didn’t hear you particularly well for the first half of your question. Could you repeat it, please?
Catherine O’Brien: Yes. Sure. Sorry about that. Can you hear me now?
Robin Hayes: Yes, it’s much better.
Catherine O’Brien: Okay, great. Yes. So I was just noting some aircraft leasing companies have shared that after an aircraft is 12 months or more late, you can cancel, get all your PDPs back, so basically no penalty. And so I was just wondering, is this the case with your contract with Airbus? I know you’ve been running late on delivery for a couple of years now. So just wondering what the flexibility in your future CapEx looks like and how you’re thinking about CapEx over the next couple of years?
Robin Hayes: Great question, Catie. I think the first thing I would say, I think the sort of commentary and the market data you’re talking about is really pertaining to some of the challenges with the 737 MAXs and some of the stuff that’s out in the market. I mean, you obviously wouldn’t expect me to get here today in terms of any details about our contractual arrangements with Airbus. But what I would say is that as we’ve been in this crisis, as ever for 20 years, they’ve been a good partner. Particularly since we’ve come into this crisis, they’ve continued to sit side-by-side with us to the tune where, as you’ll remember, last quarter, we announced deferral of $1.3 billion of CapEx between last earnings call in 2022. Obviously, as you go a little bit further out with regards to the order book, naturally you would expect to have deferral rights. The closer in you are, it’s just generally between the OEMs and the airlines, it’s the sort of commercial discussion, but we continue to engage with Airbus. Again, they’re a good partner, and we are very conscious about balancing our CapEx needs, our aircraft needs, the new and improved aircraft that drive better sort of sustainability from a financial and environmental standpoint. And we’re getting that balance right, and we’ll continue to update the markets as we navigate in the next few months.
Catherine O’Brien: Okay, great. And then some follow-up, actually a bit of a follow-up to Duane’s question. So you noted that revenue is the driver of 3Q versus 2Q cash burn and revenue is declining less quarter-to-quarter, but cost will be relatively less negative year-over-year, quarter-to-quarter. So are those top line productions masking a better net sales improvement with refunds falling off? Is there something going on with aircraft financing? I know you’re talking about the leaseback. Just trying to better understand that sequential improvement given the mix of the change in revenue and costs there?
Robin Hayes: I think the first thing I would say, Catie, our size helps us. And so JetBlue is in a position that we’re able to be very nimble. I think from the competitive earnings call, everybody is aware of what we saw as we navigated June, and think about JetBlue’s geography in terms of where we are. So I was particularly pleased with our cash burn that we, sort of, came out of June with, thinking about our geography. It does continue to be choppy. I think the balance you’ve got to think about is, it’s really around getting our capacity right, and as we sort of – that’s why we’ve ranged the 7% to 9% as we came into Q3, because it’s a reflection on demand and where we are with our variable cost structure. I don’t really think from where you look at where we are and we look at Q3 and Q4, obviously, the CARES Act rolls off in Q4, but there’s nothing material that’s moving some from a cost structure standpoint, except the capacity side of things as we go forward. So the reflection of cash burn is really a product of the capacity that we fly and the revenue that we start bringing into the business.
Catherine O’Brien: Thank you.
Robin Hayes: Thank you, Catie. Have a good day.
Operator: Your next question comes from Darryl Genovesi of Vertical. Your line is open.
Darryl Genovesi: Hi, guys. Thanks for your time. I just wanted to follow-up on with Duane and Catie just asked. I mean, you’re planning for a 45% capacity decline in the third quarter, which is a reduction of 7.3 billion ASMs. On that reduction, you’re talking about a 35% OpEx decline, which is about $650 million or $0.09 per ASM on the reduction. This is incredibly strong cost performance. You’re demonstrating a much more variable cost structure than I would have thought you’d achieve going into the crisis, especially with no furloughs and what I assume is probably higher rent expense in Q3. But this also makes for a very high hurdle to put capacity back in sequentially. And so I’m trying to understand, how your marginal flight can be cash flow positive as you suggest because you’re implying Q3 total RASM in kind of the 4.5% range. And correct me if I’m wrong, but I’d imagine that your marginal RASMs are even lower than that. So if that’s the case, and if you save $0.09 for every ASM that you pull down, then why isn’t capacity down a lot more versus the 45% that you’re talking about? Thanks and sorry for the long question.
Robin Hayes: No, worries, Darryl. I’ll kick this one-off, and I’ll give it to Joanna and Scott, if they got any additional thoughts on the revenue environment. I am very, very pleased with the work we’ve done from an OpEx standpoint. Our crew members have really stepped up. And so we’ve got a tremendous amount of voluntary time off during the quarter, and that continues to go forward into quarter three. And that really gives us, despite we’re in the CARES Act environment. We’ve been able to not only rationalize our business partner spend and continue to push things on available basis. So as I said in my comments to Duane, I feel like the company has really got hold of this fixed to variable shift. But I think some of the markets are thinking that your labor is – in essence, is very, very fixed. We’ve continued to see some of that VTO standpoint coming through. Again, we’ll continue to hammer that home. In terms of the depth that we go through with regards to our cost revenue standpoint, I’ll hand over to Joanna just to see if she wants to add any color from a revenue standpoint?
Joanna Geraghty: Yes, sure. Thanks. I think what I would say is we’re very focused on ensuring our capacity is in line with demand. And picking up on Steve’s point about being nimble, our planning process has become much closer in. And we lock our capacity decisions just a few months out. This is enabling us to really adjust quickly to that changing demand environment. It’s been somewhat disruptive, obviously, to crew members, but they’ve been unbelievably supportive given the current environment. We understand our cash breakeven economics for flights. We will not operate flights that are not cash positive. And I think that’s what’s factoring into what you’re seeing in terms of the numbers.
Darryl Genovesi: Well, I guess, yes, just to push back a little bit. I mean, if total RASM is $0.045, which is just the math of what you said on revenue and capacity versus last year. And $0.045 is clearly below the $0.09 per ASM marginal CASM that you guys were talking about. I mean, is it that’s a marginal play it actually has higher RASM than the average flight? I mean, is this a - I mean, I’ve heard you tell stories like that during good times. But I guess I just have a hard time believe that that’s the case today that you probably deploy your capacity in sort of good markets first and each incremental market that you’re entering or each additional frequency that you’re adding is likely to be rather dilutive? Or is that not the case?
Scott Laurence: Yes, Darryl, it’s Scott. I’ll give this one a try here because I think I know where you’re going with this. Look, I think when Joanna and Steve talk about how we make these incremental decisions and how we’re planning versus variable cost, it sort of take it up a level and think about it as - again, the first piece, the governing piece there is the variable breakeven load factor between about 20% and 30%. The other portion of that is the potential to recapture in a market with multiple frequencies. So as we plan the network, what we look at is what’s the appropriate frequency count, what can we actually fly? And then as Joanna talked about, this process we’ve got to sort of move closer in has got a couple of fill safes in it. So we plan the schedule, we then take a scrub of it a couple of weeks out and then we take a scrub of it a couple of days out. And that allows us to move in and obviously try to combine and -- cancel and combine, if necessary. That’s sort of the tricky part of this is making sure that the frequencies were flying and the incremental frequencies in markets make sense. Now across our network, of course, we’re relatively low frequency in a lot of places, we got one flight a day. But that’s the goal. And if you sort of look at the bottom line associated with that, that allows us to drive a better cash result at the end of the day.
Darryl Genovesi: Okay. Thanks very much guys. Appreciate the time.
Operator: Next question comes from Helane Becker of Cowen. Your line is open.
Helane Becker: Thank you very much operator. So I appreciate all the information. Thank you very much. I just have a question about moving from Long beach to LAX. So I guess the driver there was the fact that Long Beach isn’t allowing or didn’t allow international flights and you have international opportunities that LAX which I think you talked about. So I was just kind of wondering if you could talk about the - because LAX seems like a very competitive market, I guess I’m interested in the fact that LAX had better margins. Is that better margins relative to Long Beach or relative to the whole network? Or maybe you could just talk a little bit about that? Thank you.
Joanna Geraghty: Hi, Helane. This is Joanne. I’ll take that one. There’s a few reasons in July why we consolidated Long Beach into Los Angeles. I think, I look at it through two lenses, short-term, relocating our operation at a Long Beach has enabled us to consolidate our capacity into a single station. This creates efficiencies and cost savings in the short term. And you’re correct, yes, we were disappointed years ago when Long Beach – when the city council didn’t approve the airport to move forward with a customs facility, thereby not permitting international flights and Long Beach and that was part of our plan, longer-term for Long Beach. So that was absolutely one of the reasons behind consolidating those operations. In terms of L.A., this is a really great opportunity for JetBlue. Our Transcon flying has performed extremely well. Los Angeles outperforms Long Beach by quite a wide margin. As we think about international, we have that opportunity in Los Angeles. You should think longer term, obviously, for international flying. And that’s something that we’re really looking forward to. And the West Coast move, it allows us to take advantage of reduced capacity from our peers in Los Angeles. So yes, it’s a competitive airport, but we compete extremely well against the legacy carriers currently out of Los Angeles, and we expect to continue to do so moving forward.
Helane Becker: And then would you be able to, through the American? I guess the code here is just on the – in the Northeast, right? It’s not going to include West Coast, so you couldn’t necessarily hook up with them or Alaska air?
Joanna Geraghty: It won’t include – into West, it would include flights that touch the New York area, so a JFK, L.A. flight, a Boston LA flight will be covered.
Helane Becker: Got you. And then just for my follow-up, has there been any movement on the A190s, any decision there?
Steve Priest: Hi, Helane, it’s Steve here. Good morning.
Helane Becker: Hi, Steve.
Steve Priest: We continue to work through that. I mean, it goes back to sort of Catie’s question about the order book and going through. Obviously, we are expecting to come on this crisis a smaller airline. This does enable us to give some thought to potential retirements of the fleet. And we’re going through that analysis, and we’ll give that some – we can give that continued thought over the next few months. And once we make any specific decisions as we sort of get through this then we’ll go forward.
Helane Becker: Thank you.
Operator: Next question comes from Brandon Oglenski at Barclays. Your line is open.
Brandon Oglenski: Hey. Good morning, everyone. And thanks for taking my question. Steve, I hate to come back to that chain of questions. But I guess, should investors expect that JetBlue should be managing to earnings outcomes before we get any sort of cure to this virus? And I’ve asked is some other airline management teams, too. But is that even the right outcome for JetBlue to manage to cutting costs so much with revenue down where it is today? Or are you making longer-term plans to get that margin recovery once we get things ‘back to normal?’
Steve Priest: Hi, Brandon. Good morning. Our number focus is cash. Cash, cash, cash, cash, cash, as you would expect it to be in this environment. And so the point we made earlier in terms of the co-automation we’re flying the capacity, which is cash positive. And as you can imagine, in the CARES Act environment, with a higher level of our cost structure being fixed, the work we’re doing, as Scott outlined earlier, is really about that. But if you think about managing the short term and then migrating to the longer term, we are resetting our cost structure because as you come out of this as a smaller airline, not only do you have to have a smaller cost structure but in order to preserve cash in the short term and restructure for the margins in the longer term. It’s pivoting the fixed cost to the variable cost structure. So I don’t view this as like one or the other. There’s a sort of complete alignment with the short-term to long-term. And that’s what you’ve seen the leadership team at JetBlue do is a, conserve cash; and as I’ve said earlier, I’ve been very, very pleased with our sequential improvement in the cash burn in the short term; but we are also setting ourselves up for success as we come out the other side of the crisis to make sure that strategically. We’re in a good place with our margins to then ultimately repair the balance sheet, as Robin alluded to in his prepared comments. So, I suppose, it’s not one or the other, but in the short-term, we’re absolutely focused on cash.
Brandon Oglenski: Yes. I definitely appreciate that response. And maybe, Joanna, can you just talk to us about where you see the smart size of the network and the flexibility you maybe have with some of your unencumbered assets, how do you get to a smaller JetBlue? What are you willing to share today?
Joanna Geraghty: Yes. I mean, I think what I will say is there remains a lot of uncertainty around the timing of recovery. And so, we talked to the last earnings call about planning to an L-shaped recovery. That assumes a slow, yet steady ramp-up of revenue for the rest of the year. That said, if you look toward 2021, we’re planning for a wide range of assumptions. Right now, our focus is entirely on building customer confidence and flying again, remaining nimble as capacity needs to change. As Steve mentioned, getting costs out of the business, so shifting fixed to variable, our resource plans around crew members, reducing our capital spending. We feel that we’re well positioned for recovery when it does happen, trusted brand, superior product, a much lower cost structure. So, we’re planning for a variety of scenarios. I’m not going to get into smaller - how much smaller we are. I mean, for Q3, we expect revenue to be down by 80%. Q4, we’re looking at 60% to 70%. But this is all what we are planning currently and it’s an incredibly volatile environment, and things could change, which is why I’ll flip back to Steve and say, we are focused on cash preservation at the moment.
Brandon Oglenski: Thank you.
Operator: Our next question comes from Savi Syth of Raymond James. Your line is open.
Savi Syth: Hey. Good morning, everyone. Just on the CapEx side, I realize things are very fluid, but I was wondering what a realistic range might be for 2021.
Steve Priest: Hi, Savi. Good morning. Steve here. We’ve talked about -- I mean we haven’t gone, as you can imagine - yes, but we’ve said several billion. Now, there’s obviously a headline CapEx number, but we’ve also got to think about a cash basis. And I think it’s probably useful just to, sort of, share with you how effective we’ve been as you think about the sort of cash in the short-term. So, when I think about Q4 this year, there’s obviously the headline CapEx number that we’ve talked about. But because of the activities and the success we’ve had with certain leasebacks thinking about the order book, you’re only sort of seeing about $100 million to $150 million leave the business from a cash standpoint in Q4. So when we pivot to 2021, and we think about our CapEx, at a macro level, it’s basically $7 billion, but we are obviously going to be turning our attention to our CapEx profile looks like as we navigate the recovery and we see what the next few months bring.
Savi Syth: That makes sense. And then just on the voluntary programs. I wonder if you could provide a little bit more detail, particularly what portion of the 25% is related to kind of opt outs versus time off and also the time off, like how long that goes through, that you have the flexibility to work with?
Robin Hayes: Hey Savi, it’s Robin. I’ll take that and good morning. And I think just a comment on philosophy before I get into some of the details. What we really try to do is align a resourcing philosophy that mirrors sort of uncertainty that we see in terms of the future. I think that we keep using the word choppy. It is. We can see changes in the course of two or three weeks and so just as we need to take a cost down and in an environment where the demand isn’t there, we also need to better move quickly to capture it when it when they did that. And, there are always some flickers I mean, our vacations business for example, over the last seven days has sold as many vacations as they did in the same seven days as they did last year. Now, the timing has shifted so it was sort of left in August than we would have expected and so we had to remain extremely flexible in this environment. So, the way we approached it, we said look we know we’re going to be smaller, we know that there’s a number of roles here that we can take out of the business permanently. And so, we had a number of long-term opt outs. We also created long-term time off programs that varied for most work groups, between the nine and the 12 month option. And we have a significant amount of take up in that in other workers groups like in-flight, we credit time-off programs that go between one week -- one month and nine months. And so what we’ve really tried to do the operation planning team, the people team, the resulting team, kind of monitoring that. And then as we get closer in, and we have line of sight on the schedule sort of two or three months out, we then roll out more short-term programs to kind of if you like fill up the gap we have between what the schedule is calling for, and the amount of interest, we’ve had in opt out and longer term programs. So, that 25% that we shared with you today is a combination of opt out long-term time-off program and also some of the shorter time-off programs in work with what we’ve got them. It excludes a number of short-term programs that we haven’t gone out with yet for the last quarter of the year. So, that number actually will go higher and a quote I gave on the last call was when we put in the programs out in the summer, we had 60% of our crew members take some form of time off, either short-term or long-term. So, we’re not sharing a specific numbers, because it’s constantly in flux. We have programs going out all the time, but bottom-line is we’ve already had 25% out on medium, long-term, and opt out program, and that excludes additional medium time programs and short-term programs that we will be going out with into the future.
Savi Syth: Appreciate the details. Thank you.
Operator: Next question comes from Joseph DeNardi of Stifel. Your line is open.
Joseph DeNardi: Thanks. Good morning. Steve is $150 million from the Barclays point purchase is that all the cash you’re getting from Barclays? Or is that kind of a combination of an advanced purchase plus the normal cash transactions?
Steve Priest: Hi. Good morning, Joe. That was just the advanced transaction. So, obviously, we sort of have the loyalty -- the steady state loyalty activity that goes on with that. That was a one-off sort of liquidity transaction they were executed back in April.
Joseph DeNardi: Okay. And that’s the second transaction. There was $150 million in first quarter. That’s the only one.
Steve Priest: No, it’s the only ones, and we executed it back in April for $150 million.
Joseph DeNardi: Got it. Robin, in an environment where an industry is capital-intensive as airlines and one with margins is relatively low as they are, one where the revenue environment is structurally lower for a multiyear period, why shouldn’t investors assume that there will be a period of consolidation on the other side of this as there has been in prior cycles?
Robin Hayes: A great question and obviously, I can’t tell what investors should or shouldn’t assume. But what I would say is, I think the difference this time is that whilst the severity of this event is clearly more than we’ve ever seen, certainly in my memory of this industry, that goes quite a way back, every U.S. airline came into this with a strong balance sheet or liquidity position. And so, our ability, I think, to weather this, I think, is significant. And I think as we come out of this, I’m still optimistic that in the leisure markets and in the VFR markets, most of which is what we do. And when I think about the routes that we announced, most of that was just sort of acknowledging, I think some of the business line we do is likely to stay suppressed for we do is likely to stay suppressed for a while, so moving that more into leisure and VFR markets. I am still confident that a significant amount of that will recover by 2021. We saw strong and quick recovery as we were in June, and it was really only suppressed again once the case counts went up, once the quarantine came in. And so, I think once case counts get under control, once people get more comfort either with a vaccine or better therapeutics or sort of herd immunity that may even exist in some places after a while, I think that demand is going to come back quickly. And so, I think that as we exit this, we’ll be focusing on reducing our cost structure, improving our balance sheet, delevering. But I think our ability in the industry over the next two or three years to recover from this should be pretty strong especially for those of us focused on the leisure side. And I think I’m excited about our partnership with American Airlines because I think it’s a very innovative way for us to grow organically. What we know that, what JetBlue does is bring low fares and competition to more markets. But we sometimes lack scale and I think in many ways, this gives us the ability to continue to do what we do really well, but also partner with American to build some of the benefits of a larger network.
Joseph DeNardi: Thank you.
Operator: Next question comes from Myles Walton of UBS. Your line is open.
Myles Walton: Thanks, good morning. Maybe just the first one, I want to take the other side of the Joe’s question, why should investors not assume that airlines are getting assume that airlines are getting more than enough liquidity - ample liquidity different than prior downturns? And could this be a situation where M&A and natural restructuring doesn’t take place and we’re in a prolonged war situation?
Steve Priest: So Myles, I’ll sort of pick that up. I think from a liquidity standpoint, we are just raising cash to weather the storm, right? I think the uncertainty around this as we’ve sort of seen; you don’t want anyone being sort of proverbially at the wheel. And so we’ve all gone out - JetBlue has gone out and done some significant work around making sure we’ve got the balance sheet and the cash to weather this storm. So, it’s nothing to do with the perspective in terms of M&A just so from Robin’s perspective. It’s really just about making sure we’ve got the cash to weather the storm and get to the other side of this. And we will be quick as feasible as possible to start paying that back to get ourselves back to sort of the position we were pre-COVID. So I don’t see this cash position as anything beyond protecting the balance sheets and the viability of the airlines in airlines in the US sector.
Myles Walton: Okay. And then the follow-up on the delta of $7 million to $9 million per day, and getting to breakeven, should we think about that as formulaic from the top line and the incremental accretion from revenue or to kind of the conversation around cost, how much more is left on the cost side below the $7 million to $9 million burn?
Steve Priest: It’s a good question. So on the 7 to 9 basis, again, we’ve given sort of a perspective around the capacity where we’ve said like at least a sort of 45% reduction. It’s a combination of the two. We’ve been incredibly focused, as you can imagine, Myles, on our cost structure. But it is going to be a question about what the prevailing revenue environment is. And obviously, I don’t have a crystal ball at this point. But I think the 7 to 9 based on the work we’ve done on our variable cost structure and cash breakeven load factors gives us a good range to look good range to look at for Q3. And the prevailing revenue environment will determine whether at the top end of that range or towards the bottom of that range.
Myles Walton: All right. Thank you.
Steve Priest: Thanks, Myles.
Operator: Next question comes from Mike Linenberg of Deutsche Bank. Your line is open.
Mike Linenberg: Hey. Good morning, everyone. Joanna, a question for you just on the American agreement, you did talk about code sharing connections and the like. I know it’s been reported in the press that there was also the transaction would include a slot swap, and there’s been sort of differing reports out there about what that actually entails. I’m not sure if that’s LaGuardia and Kennedy or if that’s space at Newark. Any color that you can share on it?
Joanna Geraghty: Yes. I’ll ask Scott to step in and answer that question.
Mike Linenberg: Hi, Scott.
Scott Laurence: So thanks for the question. So as we continue to work through this, we’ve talked a bit about what we’re going to do. I think the first part of this is there’s -- obviously, for us, we’re excited about this because there’s a ton of benefit, right? There’s low fares, there’s great service. That’s going to come to new markets. And as we look at slots and we look at how we move forward, American has talked about things like LaGuardia, where they’re going to be removing airplanes. That creates some room for JetBlue at LaGuardia slots are freed up. There’s also potential for us to look at other opportunities. Certainly, in the afternoon at JFK, not only does that allow our transcon network to come in and arrive and feed American’s long-haul network, but it also brings competition to some of those long-haul markets. So again, we’re working this right now. We obviously are talking to regulators when we respectful -- I want to respect that the ability to look at this. But again, I think we look at the benefits here, we look at the ability to move forward and recover faster because of this, and we’re certainly excited about it.
Mike Linenberg: Great. And then just the second question and this is either Joanna or Robin. I believe, I think it was a day or two ago, it looks like the house is proposing an extension of the PSP. And I’m curious where, as a curious where, as a company, you stand, acknowledging the fact that it looks like you already have a deal with your pilots that takes you into next year. So it looks like you’re protected there. And if others - if competitors in the industry do take up an extension of the PSP, are you as a company compelled for competitive reasons to do the same, knowing that there could be strings attached, right, more debt and maybe warrant dilution. So, sort of, a multipronged question, but sort of, where you stand as a company? Thank you.
Robin Hayes: Sure. Yes, I’ll take the CARES. So what I’ll call CARES 2. I’m not sure if that’s the technical term of it, but you know what I mean.
Mike Linenberg: Yes.
Robin Hayes: I think that, the way I think about it is, CARES save the industry and CARES 2 is about job. And so we have a planning assumption going into Q4. We have some planning assumptions going into next year, as Joanna mentioned. There’s a high level of uncertainty around that. So as a team, we’re having to play a lot of scenarios. And one of the hardest things planning to scale up or down is our people. And so we make certain assumptions and we push hard on voluntary programs, but voluntary programs will only get you so far. And if you - if we take a view and some of the sort of more pessimistic outcomes as to where demand could go is you get to a point where it’s hard to bridge that gap without considering furloughs. And so we’re confident right now based on what we see in front of us over the next few months that we can get there through voluntary means, but there’s a high level of uncertainty. Well, I think you can mirror that across the industry and some airlines who perhaps have a different business mix to us, look at that and may be kind of see the more concerning forecast. And so when we look at it as a industry, there’s no doubt that CASES 2 would be a significant game changer in protecting jobs and giving the industry more time to recover. And so that’s how I think about it. And we can certainly manage through this as JetBlue, but as an industry, but I think the ability to protect a significant number of jobs if CAS2 would happen I think, is there. And if we think about the alternative of furloughs or other things, that too have a cost. And so that’s how I think about it. We’ll see how it plays out. Certainly, if CARES 2 is offered on similar terms as CARES 1, I think that would be of interest. But let’s just see how it plays out. I think this is going to be a very difficult negotiation in the house and in the senate and with the administration, and we’ll see where we sit at the end of it.
Mike Linenberg: Very good. Thanks, Robin. Thanks, everyone.
David Fintzen: All right. That concludes our second quarter 2020 conference call. Thanks for joining us. Have a great day.
Operator: And again, that will conclude today’s conference. Thank you for your participation.